David Guengant: Head of IR of Solaria. I'm joined today by Arturo Diaz-Tejeiro Larranaga, our Chief Executive Officer. During this call, we'll discuss our business outlook and make forward-looking statements. These comments are based on our predictions and expectations as of today. During this presentation, we'll begin with an overview of the results and main highlights and main development during this period given by our CEO, Arturo. Following this, we will move on to the Q&A session. I would also like to highlight that you have to submit all your questions via the web. So thank you very much again, and I will now hand over the word to Arturo.
Jose Arturo Diaz-Tejeiro Larranaga: Thank you, David, and thank you to everyone joining this conference call. Like always, I will move extremely fast on the slides and the presentation, and we will go to the Q&A part session. And of course, in first half 2025, we have increased significantly exponentially our net profits. We have grown close to 100%. That is a record in the history of the company. And we have installed -- this is something significant because you know that during the last 2 years, we have done enormous efforts in order to connect new installations. We have connected during this quarter 300 megawatts. That is one of our key targets for this year, and we have connected during this quarter 300 megawatts. From an operational point of view, our business is running great because we closed, as you know, during this first half, a great deal with Stonepeak for Generia. And our infrastructure business is running great, and we have good numbers in this quarter that comes from our infrastructure division and generation is going in a good situation even with the low price situation that we are living in Spain. But we maintain same level if you compare first half with -- last year, we maintained the same level of generation. That is good because we haven't included new assets during the first half. The good point is that finally, we have connected 300 megawatts. And hopefully, during this quarter and next quarter, we are going to complete 3 gigawatts of capacity constructed and connected to the grid that it will be a great successful for the company. Points or key points of this presentation. And all the market is talking about batteries and new business that is growing in Europe, especially in Spain around batteries. Solar absolutely will be there. And during our Investor Day, we will give great -- we will give our business update about batteries business. And my comment about batteries is we are the key player today in Spain with batteries under construction that will be connected to the grid during October. For our Investor Day, we will have batteries connected to the grid. This is a great successful for the company because we will be able to play the game of battery in Spain and with high volume of batteries connected to the grid. And we will talk about our new division of data center during the Investor Day. And it's something that we are extremely exciting around data center business and the growth of this business. Today, first half presentation numbers in order to go directly to the numbers, growth, 3 gigawatts installed that we will finish for the end of this year. We are going to finish this year with 3 gigawatts of capacity connected to the grid. It's a great successful probably from volume point of view, Solaria will be the leader from volume point of view in the Iberian region of solar photovoltaic technology connected to the grid, 3 gigawatts, 3,000 megawatts connected to the grid. Under construction. Today, we have around 4.4 gigawatts of capacity connected to the grid or under construction. We have added new developments to our under construction pipeline. Oliva, Mantia, Villaviciosa, large installations that will be constructed during 2025, 2026 and 2027 and that will add 1.4 gigawatts of additional capacity during 2026 and first half of 2027. It's significant because it's an enormous volume of megawatts that includes not only solar, include BESS, include batteries, that jointly it's a great combination from business point of view, solar with batteries that will optimize price of electricity. Batteries, as I have mentioned, 3 important points around battery business. I could say like in the solar technology that solar probably is the best-in-class from a CapEx perspective, EUR 75,000 per megawatt hour, all connected. That is a record from a CapEx perspective view. And as I have mentioned, during October, we are going to connect our first battery to the grid. And for the Investor Day, we will have batteries functioning connected to the grid, and it's a great successful for us. It's something that changed completely our history because we are going to optimize the price of electricity. We could entry at night or in the afternoon with the situation, especially in Spain, high price of electricity in the afternoon, at night, and we could obtain enormous profits associated to these batteries. We are going to install more, absolutely. We are going to invest more in batteries. We are developing enormous volume of batteries globally in Spain, not only in Spain, we have included in this presentation slides associated with Italy, Germany, with the United Kingdom, but obviously focusing in Spain. We have an enormous volume of megawatts per hour of batteries that will entry during 2025, 2026. And we will be the leader in the short term in batteries in Spain. And this is extremely important short term. Battery is a great business today. We need to use this opportunity and timing is critical. You need to be the first and you need to be the most efficient. Not only batteries, wind, data center, the global business plan of Solaria, the global idea of Solaria is a global energy player that supply solar electricity, wind electricity that has demand that comes from data centers and that has demand that comes from batteries. And it's a global solution for customers that includes technology of generation and technologies of demand. And globally, in Europe, not only in Spain, focused in several countries of Europe, Spain, Italy, Portugal, Germany, United Kingdom. Generia. You know that 2 years ago, it sounds like a dream, Generia land company. Today, it's a real company that is functioning, and that will give to all of our shareholders strong successfuls because as you know, we have got a great agreement with Stonepeak. It's functioning. We are developing the pipeline of Generia. We are executing, and we are closing acquisition of land. It's the beginning. Obviously, the plan is extremely ambitious. And during 2025, 2026, 2027, you will see a lot of deals associated with Generia. Obviously, if you want to construct all of these assets, if you want to construct new batteries, new data centers or whatever you need financing, good financing terms. This is a good example like all the quarters we show to the market that we have a strong capacity to raise money, to raise project finance debt with our banks and partners. We have closed -- presently, we have closed a new deal with Sabadell Bank, 175 megawatts of solar PV capacity. The key points of this deal is probably 22 years, close to EUR 100 million of debt. That is a global CapEx of EUR 0.50 something and link with 70 megawatts PPA data center project. We will extend and we will give more information during the Investor Day. But in all case, this is something signed, real and that is functioning now, and we have under construction today the project associated with this deal. Europe, we have included several slides because usually people say solar is extremely focused in Spain. You are not out of Spain. It's not the truth. Spain today is obviously our key market in Europe, but we don't forget other countries that are critical for us, that are going to grow around batteries, data center, solar and wind. Italy. In Italy, we have made a strong effort during the last years. And I think that today, we have a really good pipeline. Hopefully, before the end of this year, we will receive final authorization for close to 1 gigawatt. That is a great successful because to start with 1 gigawatt will be great for us. It's a diversification of our business. In my mind, the perfect photo for the company should be to stay in Spain with global volume, but to maintain good volume in Italy, in Portugal, in Germany and to install generation in these 3 countries, in Italy, Portugal and Germany. And the Italian business is in a good situation today. Probably, as I have explained for the full year's presentation, we will give an update with 1 gigawatt ready to start with the construction. And it's great. At the same time, we are developing batteries, we are developing data center. And Germany. Germany is the same. In Germany, we are more focused in generation, especially in solar and some applications of wind, but especially in solar, is the beginning. We have a good amount of megawatts. It's in my mind, it's easier than Italy or Spain. It's different market, really professional, really mature market. And I think that in the past, we had a strong successful in solar in Germany, and we are going to replicate. And today, we have more than 500 megawatts in a good situation, fully authorized, and we will start construction soon, probably in 2026. Portugal. Portugal, this is a real global project. As you know, we have assets functioning today in Portugal. We have done several projects in the last years in Portugal with great successful. In Portugal, we have fully authorized a global project with close to 500 megawatts of solar and 200 -- close to 200 megawatts of wind. We are waiting for the final substation that should be done or that is depends of government -- of the national agency and depends of government. Hopefully, we could start with the construction in 2027. From permitting process point of view, it's fully complete. The key point here is that we depend on the connection infrastructure that should be constructed by . And I think that 2027, it's conservative schedule for starting with the construction. U.K. In U.K., we are not going to be involved in generation. We are going to be involved in other activities, other activities. Today, we are only talking about batteries, and we are only talking about data center. But I talk about other activities, and I'm not including here all the activities that we are working on in United Kingdom. Not in generation, we are not going to stay involved in generation. We are interested in other activities that we will explain to the market. Numbers I have mentioned, and I will move extremely fast. EBITDA, record of EBITDA, EUR 140 million. In order to give additional information to the market. As you remember, we gave a guideline for the year of EUR 245 million, EUR 255 million for the end of this year of EBITDA. I can say that we are extremely comfortable with this number. What does it mean? We have strong visibility that we are going to accomplish with the guideline of EBITDA for 2025. During the Investor Day, the 17th of November, we will give guideline for next years and the global business plan for next year. Production, we maintained levels of production. As I have explained at the beginning, we have maintained similar numbers from a generation point of view. Small reduction on production associated with less than radiation, especially in the first half of this year. I can say that the third quarter was good from radiation point of view on price is good. And especially second quarter of this year was not good from radiation point of view, small decrease associated with this solar radiation. Average selling price, even I could say -- I can say that it's better if you compare first half 2024, first half 2025. Contracted merchant, 75% today is contracted, 25% is merchant. And as we have explained, and it's not a surprise, we are going to maintain this mix and we are going to sign additional PPA contracts. And we are going to maintain this proportion of 75 -- sorry, contracted 25% merchants. EBITDA continues growing and is affected by 3 different activities by Infra business, by generation, by Generia. And I can say that as I have explained at the beginning, it's around 1/3 per activity. And it's -- all the activities are functioning great. Why I'm saying this because I have visibility of third quarter and I think numbers are functioning great. And as I have said previously, we have extremely high level of comfort of our guideline of EBITDA. Cash, we maintain the same level of cash like always. As you know, we are not rich, but we continue making strong investments, and we maintain our discipline around CapEx. That is one of the key points of our strategy. We have a global CapEx of less than EUR 0.38 per watt. That is probably best-in-class. And in my mind, we are going to improve in the next quarters. I think that probably for the first quarter of 2026, we will achieve a record in CapEx. When I talk about record, I think that number is going to surprise to the market, but we are going to improve a lot even our CapEx. And this is critical for us because, as you know, we are covering all of our CapEx with project finance. And this is critical for us to be effective, not only in the construction of solar installation in batteries, in wind, in all of our applications. And of course, EBITDA evolution is great. If you compare the last 5 years, it's impressive. It's not as we want to get because we want more, much more. We want to grow more. We want to be the leader. And unfortunately, during the last 2 years, we had delays in the construction. The good point today is that we are in the good moment, connecting megawatts, and we are going to finish with all the megawatts under construction connected to the grid, and it's great. And it's part of our guideline of last year, and we are going to accomplish. Solaria transformation plan sounds ambitious, but we are ambitious as always. And in November 17, we will present to the market our view about data center, batteries, where we are, where we'll be and what we are going to do for financing all, and it will be extremely interesting. You know Solaria today is a key player in Europe, focused on solar, wind, data center and batteries, and we will try to explain our global view of the market and where we are going to stay the next 3 years and where will be the company in the next 3 years. And before to entering the Q&A session, in order to give more information, we will be focused in the remuneration of the shareholders. We think that is something that we need to improve, and we need to stay focused there. We will continue acquiring shares. And as you know, in the first quarter, we have announced a program -- share buyback program. And we have today 2% of the shares of the company, and we are going to continue with the acquisition of shares at least until 10%. And we are going to maintain this discipline, and we are going to execute. And at the same time and in order to be fair with the market, understand this comment, but probably company in the next days could sign contracts, impressive contracts that will give visibility to our business plan and to all the activities of the company. And we will explain during the Investor Day of the 17th of November. Q&A, if you want.
Operator: So thank you, Arturo. I will now open for Q&A session. And once again, thank you for your time. Just let us 1 minute. So the first question comes from Fernando Garcia from RBC.
David Guengant: Could we elaborate on the sentence evaluating additional options to boost shareholder returns?
Jose Arturo Diaz-Tejeiro Larranaga: I have explained that we want to stay focused on the remuneration of shareholders. And as I have mentioned, in the first quarter, we approved a share buyback program that we are executing, and I have given the details, and we are executing and we have 2% of shares of the company actually. About new remuneration on new options, we will discuss during the Investor Day, the 17th of November in London.
David Guengant: Next question from Fernando. You have many of value creation avenues in solar PV, batteries, DC, international expansion and real estate. But you have less than EUR 50 million of cash position. What are your plans such as partnerships to avoid jeopardizing these growth optionalities?
Jose Arturo Diaz-Tejeiro Larranaga: I think that we have demonstrated during last years that even with not too much cash that sometimes I recommend the company is to maintain not too much cash because when you have too much cash, you spend a lot of money. But this is my view that is not probably -- you are not agree with my view. But in order to explain, we have demonstrated that the key point from managing perspective, in my view, is to be efficient on CapEx, not to spend too much money and to be able to maintain a good CapEx that should be covered with project finance. This is my obligation. And we have demonstrated to the market during the last years that we are able to construct 3 gigawatts that we are able to develop a pipeline globally in all Europe, not only in Spain, that we are able to construct and to acquire batteries that we are able to acquire land, that we are able to acquire connection points for data centers and to acquire land for data centers. And we haven't sold nothing and not increasing capital. And this is a really good discipline that we have established inside the company. Our discipline will be maintained because it's the generation of value. You need to generate value to the shareholders, and it's my obligation. But you have seen with the Generia deal, for example, that we are able to generate value and to generate cash position with joint ventures. And I'm extremely satisfied with the joint venture closed with Stonepeak that is a key player in the market. And it's a great joint venture that will give enormous profits to the shareholders of Solar in the future. And we have raised EUR 125 million for the acquisition of land. And the valuation of the platform and the valuation of our pipeline and our capacity was good. I think that this kind of partnership, this kind of joint ventures are really good for Solaria that gives cash, gives support in the growth and recognize the value of the platform and the value of our pipeline. And it's something that we could repeat in data center, we could repeat in batteries, and we could repeat in other activities. But in order to answer correctly the question, yes, we are open to sign and to close joint ventures for batteries, for data centers and we are talking with players and we are working on it.
David Guengant: Next question comes from Philippe Ourpatian from ODDO. Looking the Slide 6 related to our operating and under construction asset, is the time frame of 6.2 gigawatts dedicated to 2026 or later?
Jose Arturo Diaz-Tejeiro Larranaga: And operating and under construction, 3 gigawatts will be connected to the grid for the end of this year. 1.4 gigawatts, it's under construction. We will announce probably during October, November, but it's something that in my mind is completely solved. We will announce a project finance associated with Villaviciosa and other developments that we have included that we have under construction, and we will cover with project finance, no problem. We -- it's a deal closed, but we will announce during October, November. And it's under construction, probably will be constructed during 2026 and 2027 connection. And we will add, especially in the third quarter and in the last quarter of this year, additional capacity to our construction pipeline that will be executed during 2026, first half of 2027. And now the innovation, if you want or something new is that we are going to include at the same time, batteries construction and batteries construction schedule. And today, our business has -- we have -- we are seeing here an extension of our business. We are not going to talk only about gigawatts of solar capacity. We are going to talk about gigawatts of solar capacity, gigawatts per hour of batteries and wind. It's like Solaria will be transforming a global player, constructing batteries, solar and wind. And as I have explained, from batteries point of view, for the Investor Day, we will have connected to the grid a number of batteries.
David Guengant: Next question is coming from Beatrice Gianola from Mediobanca. Do we expect to sign new PPAs? Which is the outlook in terms of price for PPA in the Iberian market? And can we elaborate on returns expected for investment in battery storage in Spain?
Jose Arturo Diaz-Tejeiro Larranaga: New PPAs, absolutely, yes. We will sign new PPAs, and we will announce to the market. And let me let me keep some information in my pocket. Let me keep some information in my pocket. Let me keep some information in my pocket. Let me surprise yourself. Let me surprise yourself and all the market in the next days, in the next days, in the next weeks. And we will talk. About batteries, I think that the return today in batteries in Spain is like it's unbelievable. Why? Because if you see price at night and you see price of electricity, especially at 12:00 in the evening or 11:00 in the evening, 10:00 in the evening, it's like it's crazy because today, we are suffering price of electricity of EUR 140, EUR 150. If you see these numbers that in my mind, it's crazy. The return of the battery is less than 1 year or 1.5 years with the current CapEx. It's always the same. It depends on your CapEx. And in CapEx, we announced a deal a few months ago with a price that we have renegotiated. We are improving prices of batteries. I think that we will see like in module, strong improvements in price of batteries. And from a CapEx perspective, I'm extremely quiet. I'm not nervous because we will be the key player from CapEx perspective on batteries and the return, I think it will be great. But reasonable return, double digit. We always are looking for double digits. If we don't have double digits, we don't invest. If we don't see a high level of double digits, when I talk about high level in solar assets is 12%, 13% project IRR in batteries, we are obligated to obtain more than this number.
David Guengant: Next question from -- comes from Alexandre Roncier from Bank of America. Any update on the capacity market for Spain and timing?
Jose Arturo Diaz-Tejeiro Larranaga: It's true that Spanish government is going to approve a capacity market. With the actual situation of prices, it's not necessary, but of course, welcome. If they approve, finally, it will be welcome. And it's an improving -- it's something that will improve the numbers around batteries. And it's not only battery, government is touching several points of the law. And if they modify, I think that is going to improve generation business. It's going to improve batteries business, probably will improve globally to all the renewable energy market. But market government, you depend on the government require time. I know that they are working on it, but who knows, if they are going to approve now or in October, November or whenever. We want -- I think that we need to move without any new law that could be approved like for our numbers, we are not including this capacity market.
David Guengant: Next question coming from Fernando Lafuente from Alantra, Arthur Sitbon from Morgan Stanley, regarding storage revenue. What will be the price strategy for the first battery connected? Will you -- will we sell the electricity merchant, secondary market? And Arthur is also asking, can we break down some revenue source of the first batteries that we can connect to the grid this year?
Jose Arturo Diaz-Tejeiro Larranaga: We are studying all the proposals for batteries. We have some proposals of people that wants to acquire our business, other people that wants to make a joint venture with us and to participate to give money, equity and for the acquisition of the batteries and to recognize value in our platform. That is probably the largest platform in Europe for batteries or the second one, I think, because from a private player had great successful in United Kingdom. But I think that probably Solaria in the stock market is the global player in Europe for batteries. And we are studying all the options. Today, for the batteries that we have under construction that will be connected to the grid in October and that for the Investor Day will be connected to the grid. Our strategy is to go to the merchant market and to obtain strong profits in the next month. I think that it's an easy job today. In the future, we'll be more sophisticated. Today, it's extremely simple business with the situation of price of electricity. But I'm not saying that deals will be our long-term strategy. I'm saying that we are going to use the exceptional situation of merchant price in the short term, but we could sign a joint venture associated with batteries.
David Guengant: Next question is coming from Alberto Gandolfi from Goldman Sachs. Is 1 gigawatts of solar Villaviciosa, Oliva, Mantia, all permitted? If not, which permit do we have? And when do we plan to receive all the authorization?
Jose Arturo Diaz-Tejeiro Larranaga: All permitted and under construction. We have explained the deal associated with Sabadell that cover a small part and it's associated with -- it's associated with the solar PV asset of Oliva. And it includes a data center of 75 megawatts. And you will see the evolution of this, but it's under construction, fully permitted. Villaviciosa, it's in the same situation, fully permitted, under construction, and we will announce the project finance deal in the short term, probably October, November, probably October because it's done. And we will announce the bank that is going to stay with us in this project. That includes Villaviciosa and other small projects that you have mentioned in your question.
David Guengant: Next question is coming from Temi from Barclays. There were an article recently on the grid on Spain being 83% saturated. Can we please confirm our latest secure grid connection on the generation side?
Jose Arturo Diaz-Tejeiro Larranaga: I think that we have a lot of grid connection secured in -- on the generation side. We have a lot of grid connection secured for data centers. We have a lot of grid connection secured for batteries. We have a lot of grid connection permits for wind. It's like from grid connection permitting point of view, we have get a great, great successful. You know because we have given all the information to the market during the last 2 years, but from generation for wind and solar, we have a lot of generation connection points. For data centers, we have close to 1.5 gigawatts and growing. It's like probably we are the key player in Iberia region. But I'm talking about Iberia all the time, but I think that we should start to talk about Europe because it's not only associated with Spain. But Spain today sounds good. And I think that at the end of this year, we will give more visibility in other countries. But we are a global platform in Europe. And Spain, obviously, we have -- I think we are probably the king from connection point of view.
David Guengant: Last question comes from Jorge Alonso from Bernstein. What is our view on the Spanish market if BESS are massively adopted? How the power price will look like?
Jose Arturo Diaz-Tejeiro Larranaga: Projection of power price is difficult and the projection of the situation of BESS in the long term is difficult because we have left a lot of bubbles around all the different business associated with renewables in Spain, but we will see the evolution. In batteries, in my mind, you need to be the first. You need to connect, not to talk, you need to connect. And to the -- the key point here, the key point today over the table is that we are going to stay in London the 17th of November with batteries connected to the grid. I will talk about the numbers and the EBITDA that we are residing in real time. And this is something that is value. And our effort is focused today on this. Connection, construction of new batteries. In the long term, if we suffer a massive volume of new installation of batteries, we will see. But battery is something that should have a strong return because if you don't have a strong return, you could have troubles in the long term. Our view is focus on CapEx efficiency and to be the first. And this is our view to be the first to construct with the best CapEx and to be extremely efficient in order to maximize value. And we will see evolution. Power price and power prices of electricity. It depends on demand. It depends on demand. This is a question associated especially with demand. Data center vehicles, electrical vehicles, industrial demand is growing. During this year, we have seen that the demand is growing. The electrical demand is growing. It's not in a bad situation. It's better than a few years ago. It's growing, but probably could grow a lot if Europe entering the data center business, for example. And not only focus on data center in the industrial part, we need to develop industry. And you received the message from my colleagues from the utilities from Endesa, Iberdrola and Naturgy, they receive massive questions of industrial players that wants to get connection points on the grid because they want to receive electricity, renewable energy, electricity. And Spain has a strong advantage from price point of view. We have cheap price of electricity, and it's an enormous advantage for the industry. And I'm completely sure that the situation will improve in the next years. And it's not only the demand come. When I talk about industry, I talk about hydrogen technology. Hydrogen is going to make enormous consumption of electricity. I'm talking about new industries. But I think that we are optimistic about the future price of electricity in Europe and Spain, Portugal, Italy and all the countries of Europe. It's like demand is going to answer, is answering, and we will see a strong demand in the future. Thank you very much and for being part of this conference call. And our Investor Relations team, David, will be available for any additional information that you may require. And hopefully, I hope to see you -- all of you in London, the 17th of November with a lot of surprises and news and business plan for the future and a lot of renewable energies. And we will see you in London. Thank you very much.